Operator: Please stand by, we're about to begin. Good day, and welcome to today's Quanta Services' Third Quarter 2015 Earnings Conference Call. Today's conference is being recorded. At this time, it's my pleasure to turn the conference over to your host for today's call, Kip Rupp. Please go ahead.
Kip A. Rupp - Vice President-Investor Relations: Great. Thank you, Jason, and welcome, everyone, to the Quanta Services' conference call to review third quarter 2015 results. Before I turn the call over to management, I have the normal housekeeping details to run through. If you would like to have Quanta news releases and other information e-mailed to you when they occur, please sign up for e-mail information alerts by going to the Investors and Media section of the Quanta Services website at quantaservices.com. You can also access Quanta's latest earnings release and other investor materials such as press releases, SEC filings, presentations, videos, audiocasts, conference calls, and stock price information with the Quanta Services Investor Relations app, which is available for iPhone, iPad, and Android mobile devices for free at Apple's App Store and at Google Play. A replay of today's call will be available on Quanta's website at quantaservices.com. In addition, a telephonic recorded instant replay will be available for the next seven days, 24 hours a day, that can be accessed as set forth in the press release. Please remember that information reported on this call speaks only as of today, November 5, 2015. And therefore, you are advised that any time-sensitive information may no longer be accurate as of the time of any replay of this call. This conference call will include forward-looking statements intended to qualify under the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. These forward-looking statements include all statements reflecting Quanta's expectations, intentions, assumptions or beliefs about future events or performance, or that do not solely relate to historical or current facts. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict or are beyond Quanta's control, and actual results may differ materially from those expressed or implied in any forward-looking statements. For additional information concerning some of the risks, uncertainties and assumptions that could affect Quanta's forward-looking statements, please refer to the company's Annual Report on Form 10-K for the year ended December 31, 2014, and its other documents filed with the Securities and Exchange Commission, which may be obtained on Quanta's website or through the SEC's website at sec.gov. Management cautions that you should not place undue reliance on Quanta's forward-looking statements, and Quanta does not undertake and disclaims any obligation to update or revise any forward-looking statements based on new information, future events or otherwise, and disclaims any written or oral statements made by any third party regarding the subject matter of this call. With that, I would like to now turn the call over to Mr. Jim O'Neil, Quanta's President and CEO. Jim?
James F. O'Neil - Chief Executive Officer and President: Thank you, Kip, and good morning, everyone. Welcome to Quanta Services' third quarter 2015 earnings conference call. I will start the call with an operational overview, before turning it over to Derrick Jensen, Quanta's Chief Financial Officer, who'll provide a detailed review of our third quarter results. Following Derrick's comments, we will welcome your questions. The third quarter results that were reported this morning were consistent with the revised and preliminary expectations that were announced on October 16. While our results for the third quarter and first nine months of this year had been below our expectations, we expect improved financial performance in 2016, largely due to record backlog at the end of the third quarter, primarily driven by mainline pipe project additions. Before I provide additional commentary on 2016, I will start with some color about our third quarter results and fourth quarter expectations. There were several factors that adversely affected our third quarter results, the most impactful of which was the margin pressure in the Electric Power segment. As we discussed last quarter, large transmission projects in the United States and Canada have experienced significant delays. These delays have led to increasingly competitive smaller transmission market because of excess transmission construction resources in the industry. We believe some competitors are more aggressively pursuing work volume to absorb fixed cost. We underestimated the impact of this dynamic on our ability to secure additional work to efficiently transition resources from larger projects to smaller projects. Because much of the smaller transmission work is book-and-burn, and may not hit backlog, this dynamic had a larger impact and is geographically broader than we anticipated. Additionally, the mix of transmission work has shifted to a greater percentage of smaller projects. Production on smaller projects is less efficient than large projects due to the lack of resource continuity as people and equipment are frequently immobilized from project to project, resulting in margin pressures. While we believe that these factors will continue into the fourth quarter, and likely into some portion of next year, we believe the delay in large transmission projects is temporary, as a number of large projects are awaiting permits and other approvals, including some included in current backlog. Therefore, we have maintained a portion of our large transmission workforce and equipment in an underutilized capacity to ensure that we are strategically positioned to deliver on larger, more complex electric transmission projects when they move forward. This management team and our operating unit leadership have a sense of urgency to return the electric power segment to acceptable margin levels. We have a track record going back to 2008, when segment revenues were less than half of current revenues, of operating this segment above a 10% operating margin, and we believe we can return the segment to a 10% or better operating margin in the future. However, market dynamics are fluid and we will not be shortsighted with our strategic decisions. In the near term, we are focused on managing our business to the current environment, while striking a balance between improving margins and maintaining an appropriate level of resources to respond to opportunities when large transmission programs move to construction in the future. We will not hinder our ability to serve our customers on the larger, more complex projects as Quanta clearly differentiates itself from the competition in this market. We have visibility on several sizeable electric transmission opportunities, or are in active discussions with several customers regarding these projects. Our oil and gas segment revenues came in ahead of our internal projections, but our margins were softer than previously forecasted. This was primarily due to higher-than-expected cost. We are seeking change orders to offset some of these costs, which are not reflected in our results. Margins were also impacted by revenue mix, with less mainline margin contribution primarily due to project start delays. On a positive note, oil and gas segment backlog increased to record levels, growing 34% over the third quarter of last year and up 19% sequentially, primarily from mainline pipe project additions. Now I will provide color on our end markets and some preliminary thoughts on 2016. We currently intend to update our expectations and provide additional details regarding our 2016 outlook on our fourth quarter earnings call in February of next year. While 2015 has been a challenging year for our Electric Power segment, the end-market drivers that underpin our positive multi-year outlook remained firmly in place. The North America power grid is aging and reliability challenges are increasing. There are regulations in effect that encouraged transmission and distribution spending. The North America power generation mix continues to shift away from coal to more natural gas and renewables, and new technologies are being implemented for a more advanced power grid, all of which require grid expansions and enhancements. In addition, most of our key customers have significant capital deployment programs focused on upgrading and expanding transmission and distribution infrastructure in the coming years. In fact, according to the Edison Electric Institute, by 2030, the U.S. electric utility industry would need to make a total infrastructure investment of as much as $2 trillion, illustrating that solving the North America power grid's challenges could take decades. However, this market is also experiencing headwinds. As discussed previously, regulatory delays are a challenge as projects become larger and more complex, with the vast majority of planned projects located in densely populated areas. Also, an unexpected outcome of the implementation of FERC Order 1000 is that it is causing many of our customers to shift their strategies in some areas, resulting in project delays as they adapt to this new environment. We believe this is a short-term dynamic and expect FERC Order 1000 to drive significant incremental electric transmission investment in the future, as transmission programs are built for improved regional interconnection, and to move power between geographically distant markets. As a result, we believe some FERC Order 1000 transmission projects could be larger in scope and scale than what the industry has experienced over the past several years. As discussed on prior calls, while these dynamics create near-term timing challenges, we believe Quanta's scope, scale, balance sheet and track record of safely executing large transmission projects positions us well for these significant opportunities as the market adjusts to the current environment. From a market perspective, we expect continued growth in small and medium transmission and distribution investment in 2016. We believe large transmission project delays are temporary, and that the project awards could occur sometime in 2016, though timing is uncertain. That said, we have a positive multiyear outlook for the large transmission market based on the projects we are aware of today. Over the next three years, we are tracking large transmission projects with an estimated aggregate contract value of up to $12 billion, which does not include the potential of FERC Order 1000-driven projects. Further, recent reports from the Edison Electric Institute and the C3 group expect growth in transmission spending for the next couple of years, with transmission spending remaining at historical high levels through 2020. I would note that transmission spending data in these reports have regularly been revised upward in the past. We have a strong base of large transmission projects and strategic alliances with several customers that have large multiyear electric transmission investment programs. For example, the combined aggregate contract value of the Labrador Island Link HVdc transmission project and the Fort McMurray West transmission projects exceeds $1.5 billion. At quarter-end, the Labrador Island Link HVdc transmission project was approximately 15% complete, and the Ford McMurray West transmission project isn't expected to start construction until 2017 and should finish in 2019. Our Oil and Gas segment has been building backlog momentum with sizable pipeline project awards this year, such as the Maurepas Pipeline project for SemGroup, package A of the Norlite Pipeline Project for Enbridge, and the recently announced REX Zone Three Capacity Enhancement Program for Rockies Express Pipeline. The aggregate contract value of these three projects exceeds $1 billion, and we expect the majority of the revenues from these projects to be generated in 2016. As we shift resources to execute on mainline pipe projects, we would expect a revenue mix shift to occur, where our mainline revenues increase and our midstream gathering revenues soften as we shift certain critical resources to support mainline projects. Also, on our second quarter call in August, I mentioned that we were close to booking approximately $1 billion of mainline work. Since that call, we have booked nearly $800 million of additional mainline pipeline projects into third quarter backlog, most of which is scheduled to move to construction at some point in 2016. In addition, we are bidding or negotiating billions of dollars of additional mainline pipe project opportunities, and expect sizable awards in the coming months. With the regulatory delays we have seen recently with the mainline pipe projects, we are hesitant to speak with certainty regarding exactly when these projects will move to construction. However, if the mainline projects that are already in backlog, plus those that are in final stages of contract negotiations, move into construction as planned, we believe we could see significantly increase in our mainline revenue contribution to the segment in 2016. With respect to other key services we provide in our Oil and Gas Infrastructure segment, our natural gas distribution and integrity work has been growing nicely this year. We believe end-market drivers and trends provide us with opportunity to grow this part of our operations next year as well. We will continue to experience challenges in areas of our business that are impacted by the current low-priced oil environment, primarily in Australia, the Canadian oil sands, and our offshore Gulf of Mexico operation. That said, any incremental softness in these areas should be more than offset by growth in mainline revenues next year. In summary, while we have experienced challenges in 2015, we expect improvement in our 2016 financial performance, largely from contributions from mainline pipe construction. We do believe the current dynamics impacting the Electric Power segment are short term, as we are working with several customers on future large transmission opportunities. Further, we have purchased nearly $1.5 billion of stock year-to-date, which demonstrates our confidence in Quanta's long-term growth prospects. We continue to execute on our strategies that position Quanta for both near- and long-term growth, and are confident in our ability to execute and deliver customer-driven solutions that have made us the industry leader that we are today. With that, I will now turn the call over to Derrick Jensen, our CFO, for his review of our financial results. Derrick?
Derrick A. Jensen - Chief Financial Officer: Thanks, Jim, and good morning, everyone. Today we announced revenues of $1.94 billion for the third quarter of 2015, compared to $2.15 billion in the prior year's third quarter. Net income from continuing operations attributable to common stock was $43.2 million or $0.23 per diluted share. These results compared to net income from continuing operations attributable to common stock of $87.9 million or $0.40 per diluted share in the third quarter of 2014. Net income attributable to common stock for the third quarter of 2014 was negatively impacted by a $32.3 million net-of-tax charge, or $0.15, to provision for long-term contract receivables associated with change orders on the 2012 Electric Power transmission project that were ultimately settled earlier this year. Adjusted diluted earnings per share from continuing operations, as presented in today's press release, was $0.30 for the third quarter of 2015, as compared to $0.58 for the third quarter of 2014. Net income attributable to common stock for the quarter was $216.4 million or $1.15 per diluted share. This compares to $94.6 million or $0.43 per diluted share in the third quarter of last year. Included in net income attributable for common stock and net income from discontinued operations for the third quarter of 2015 was an approximate $171 million net gain, or $0.91 per diluted share, associated with the sale of our fiber optic licensing operations, which was completed on August 4, 2015 and resulted in net after-tax proceeds of approximately $848 million. The decrease in consolidated revenues in the third quarter of 2015 as compared to the same quarter last year is primarily due to a decrease in revenues from our large electric transmission and mainline pipe project, which were adversely impacted by reduced customer spending and delays in project timing due to regulatory and permitting issues. In addition, consolidated revenues and earnings were negatively impacted by approximately 3% when compared to the third quarter of last year when quantifying the estimated impact of changes in foreign exchange rates between the quarters. Partially offsetting these decreases was the favorable impact of approximately $85 million in revenues generated by companies acquired since the end of the third quarter of 2014, primarily in our Oil and Gas Infrastructure segment. Our consolidated gross margin was 12.1% in the third quarter of 2015, as compared to 15.7% in the third quarter 2014, primarily as a result of the negative impact of lower revenues from large electric transmission projects and mainline transmission revenues, both of which typically carry higher margin. Selling, general and administrative expenses, as presented in this quarter's earnings release, were $145.7 million in the third quarter of 2015, reflecting an increase of $1.7 million as compared to prior year's third quarter. This increase was primarily due to $4.9 million in incremental G&A costs associated with acquired companies, and $2.1 million in higher non-cash stock-based compensation associated with (18:28) and company-wide long-term incentive programs, partially offset by $6.3 million in lower salaries and benefits costs associated with current levels of operations. Selling, general and administrative expenses, as presented in this release, as a percentage of revenues, were 7.5% in the third quarter of 2015, as compared to 6.7% in the third quarter of 2014. This increase was primarily attributable to the decline in revenues and its negative impact on the absorption of consolidated overhead costs. To further discuss our segment results, Electric Power revenues were $1.18 billion, reflecting a decrease of $213 million quarter-over-quarter or approximately 15.3%. Lower revenues were a result of reduced customer spending and delays in projects due to regulatory and permitting issues associated with large electric transmission projects, and normal fluctuations in project timing as certain larger projects that were ongoing in the three months ended September 30, 2014 were at or near completion in the three months ended September 30, 2015. Foreign currency exchange rates also negatively impacted revenues in this segment by approximately $40 million, and there was a $12.6 million decrease in emergency restoration services revenues to $20.9 million for the third quarter of 2015. These negative factors were partially offset by the contribution of approximately $20 million in revenues in companies acquired since the third quarter of last year, as well as increased activity from smaller transmission and distribution projects. Operating margin in the Electric Power segment decreased to 6.5% in the third quarter of 2015 as compared to 7.5% of last year's third quarter. The decrease in margin was primarily due to lower revenues from higher-margin large electric transmission projects and the resulting greater percentage of revenues from small transmission projects, which typically have a lower-margin profile. Partially offsetting the decrease was the impact of lower general and administrative expenses associated with reduced compensation cost during the third quarter of 2015 as compared to last year's third quarter. In addition, operating margin in the third quarter of 2014 was negatively impacted by the previously mentioned charge to our provision for long-term contract receivables. As of September 30, 2015, 12-month backlog for the Electric Power segment increased by 5.3%, and total backlog remained relatively flat when compared to June 30, 2015. The increase in 12-month backlog was largely due to transfers of amounts from beyond-12 to 12-month backlog. These transfers were largely offset by MSA renewals with multiyear estimates. As Jim commented, we continue to see the opportunity for additional awards, although they may not contribute to sequential backlog growth. Also, as compared to June 30, total Electric Power backlog has been negatively impacted by approximately $108 million due to the negative effects of foreign currency. Oil and Gas segment revenues increased quarter-over-quarter by $6.5 million or 0.9% to $756.3 million in 3Q 2015. This increase was the result of revenue contributions of approximately $65 million from companies acquired since the end of the third quarter of last year, as well as increased revenues from distribution and other services. Partially offsetting this increase was reduced demand for services due to lower oil prices and their impact on customer spending, normal fluctuations in large project timing, and certain projects that were ongoing in 3Q 2014 were at or near completion in 3Q 2015, and regulatory delays related to certain other large mainline pipe projects that have shifted work from the second half of 2015 into 2016. Also, changes in foreign currency translation rates have reduced revenues contributed by our international operations in this segment by approximately $26 million. Operating income for the Oil and Gas segment as a percentage of revenues decreased to 7.8% in 3Q 2015 from 10% in 3Q 2014. This decrease is primarily due to a decrease in mainline pipe revenues, which typically yield higher margin opportunities. Also contributing to the decrease in operating income as a percentage of revenues was lower demand for services associated with certain operations as a result of lower oil prices and permitting delays, which negatively impacted the segment's ability to cover fixed costs. Total backlog for the Oil and Gas Infrastructure services segment currently sits at a record level. 12-month backlog increased by $380 million or 22.3% when compared to June 30, 2015, and total backlog increased by $540 million at September 30 when compared to the second quarter, resulting in an overall 18.8% increase in total backlog for this segment. Backlog increases are primarily associated with mainline pipe awards largely expected to move into construction in 2016. Corporate and unallocated costs increased $7 million in the third quarter of 2015 as compared to 3Q 2014, primarily as a result of $2.1 million in higher non-cash stock-based compensation associated with acquisitions and company-wide long-term incentive programs, $1.7 million in higher acquisition and integration costs, and $1.4 million in higher salaries and benefits due to increased personnel to support strategic initiatives, as well as cost-of-living increases. For the third quarter of 2015, operating cash flow from continuing operations provided approximately $109 million. Net capital expenditures were approximately $39 million, resulting in approximately $69 million of free cash flow as compared to negative free cash flow of approximately $14 million for the third quarter of 2014. Prior year's free cash flow was negatively impacted by the timing of projects as certain electric power transmission projects were ramping up during the three months ended September 30, 2014, which resulted in an increase in working capital requirements during the period. Operating cash flows from continuing operations for the nine months ended September 30, 2015, provided approximately $395 million, and net capital expenditures were approximately $151 million, resulting in approximately $243 million of free cash flow, as compared to negative free cash flow of $185 million for the nine months ended September 30, 2014. I will note that overall cash flows for the fourth quarter will be negatively impacted by a payment of approximately $147 million associated with taxes payable from the gain on the sale of Sunesys. DSOs remained fairly constant at 85 days at September 30, 2015, compared to 84 days at December 31, 2014, and 83 days at September 30, 2014. Investing cash flows of continuing operations during the third quarter of 2015 were impacted by aggregate cash consideration paid of approximately $29.4 million, net of cash acquired, related to the closing of four acquisitions during the quarter. Financing cash flows of continuing operations during the third quarter of 2015 were impacted by the repurchase of shares of our common stock for approximately $1.03 billion. In addition, $150 million was paid under the accelerated stock repurchase agreement, or ASR, which we entered into on August 7, 2015, for the delivery of shares that will ultimately be retired upon final settlement of the ASR. These outflows were partially offset by net borrowings of $142.3 million under our credit facility. We continue to receive questions on the mechanics around the ASR, so I think it makes sense to provide some additional color given the recent move in our stock price. It is important to note that the timing of delivery and retirement of shares by Quanta under the ASR for GAAP purposes is independent of any activity in the market by JPMorgan. All activity by JPMorgan pursuant to the ASR, including timing, volume and price, has no impact on our share count or future cash flows. The $750 million ASR commitment, divided by the average volume-weighted average price, plus an agreed discount, over the full term of the ASR, ultimately determines the amount of shares that we will retire. Upon maturity, there will be a settling of the account for the total shares due. For instance, if you assumed that our stock price would trade on average at around $23.34, mark – that mark during the life of the ASR, which was the closing price of Quanta's stock price the day prior to the execution of the ASR, we would repurchase approximately 32.1 million shares. Upon execution of the ASR, we received an initial delivery of 80% of this estimate, or 25.7 million shares. Therefore, upon final settlement, JPMorgan would owe us approximately 6.4 million shares. However, as a result of the decline in stock price since the inception of the ASR, it is possible that the average volume-weighted average price across the term of the ASR will be lower, therefore causing more shares to be delivered upon final settlement. The ASR arrangement permitted concurrent share purchases by Quanta subject to declining monthly caps. In order to take advantage of our limited ability to purchase shares in the open market, irrespective of potential unforeseen blackout periods, the company made the decision to put a 10b5-1 plan in place a few days after our Q2 earnings release. At the point in time this was put into place, we did consider the impact of an increasing or a decreasing stock price over the near term. The longer maturity of the ASR provided a cost-averaging approach that would extend well into the first quarter of 2016, which in our view at the time was a reasonable approach to our share repurchase strategy in light of our continued favorable multi-year outlook. To recap our share repurchase activity through the quarter, as previously announced, we acquired approximately 1.8 million shares of our common stock in the open market for a total cost of approximately $52 million, which completed the $500 million stock repurchase program authorized at the end of 2013. Under our previously announced $1.25 billion share repurchase authorization, we took delivery of and retired into treasury stock, in accordance with GAAP, 25.7 million shares with a fair market value of approximately $600 million pursuant to the ASR. We also repurchased 15.6 million shares for about $373.1 million in additional open-market transactions during the third quarter. These transactions bring the company's repurchase activity during the nine-months ended September 30, 2015, to a total of 55.7 million shares for value of approximately $1.38 billion. Lastly, subsequent to September 30, 2015, and through the date of today's release, we have repurchased another 3.6 million shares for $76.8 million in additional open-market transactions. As a result of the above, our common stock equivalents outstanding at September 30 are approximately 166.4 million shares. Giving effect to shares repurchased subsequent to the third quarter, our weighted-average share count for the fourth quarter is expected to be 163.6 million shares, and our outstanding shares as of year-end are expected to be 163.8 million. Our share count in 2016 will decrease further by the final share settlement under the ASR as I have described previously. At September 30, 2015, we have approximately $49.2 million in cash. At the end of the quarter, we had about $318.5 million in letters of credit and bank guarantees outstanding to secure our casualty insurance program and other contractual commitments, and we have $339.2 million of borrowings outstanding under our credit facility, leaving us with approximately $716.5 million in total liquidity as of September 30, 2015. Concerning our outlook for the remainder of 2015, we expect revenues for the fourth quarter of 2015 to range between $1.75 billion and $1.85 billion, and diluted earnings per share from continuing operations to be $0.20 to $0.26 on a GAAP basis. These estimates include the benefit of an expected $2.2 million release of income tax contingency reserves, as well as share repurchase activity through October 30. This guidance compares to revenues of $2.03 billion and GAAP diluted earnings per share from continuing operations of $0.27 in the fourth quarter of 2014. Included within the prior year's fourth quarter is the impact of a $30.3 million net-of-tax or $0.14 cents per diluted share charge, to provision for a long-term contract receivable, as well as $3.2 million of income or $0.1 per diluted share from the release of income tax contingencies. Our non-GAAP adjusted diluted earnings per share from continuing operations for the fourth quarter of 2015 is expected to be $0.26 to $0.32, in comparison to our non-GAAP adjusted diluted earnings per share from continuing operations of $0.48 in the fourth quarter of 2014. On an annual basis, we expect revenues to range between $7.45 billion and $7.55 billion, and we may currently anticipate GAAP diluted earnings per share from continuing operations for the year to be between $0.79 to $0.85, and anticipate non-GAAP diluted earnings per share from continuing operations to be between $1.07 to $1.13. Our forecasted non-GAAP measures are estimated on a basis similar to the calculations of historical adjusted diluted earnings per share from continuing operations presented in our release. We are currently projecting our GAAP tax rate for the fourth quarter to be between 36% and 36.5%, which reflects an estimated tax contingency release of approximately $2.2 million. Also, both quarter-to-quarter and annual 2015 guidance reflect the current foreign exchange rate environment. Continued movement of foreign exchange rates in the future could make comparisons to prior periods difficult, and actuals differ from guidance. CapEx for all of 2015 should be approximately $210 million to $220 million when factoring in 2015 to-date acquisitions. This compares to CapEx for all of 2014 of $247.2 million. On a final note, throughout 2015 we have evaluated whether providing quarterly guidance is of value, given the short-term volatility that can occur as a result of project delays and other factors that impact earnings from period to period. As we look to 2016, we will continue to consider whether quarterly guidance remains appropriate, as well as whether other methods would improve communications with investors. This concludes our formal presentation, and we'll now open the line for Q&A. Operator?
Operator: Thank you. And we'll take our first question from Dan Mannes with Avondale Partners.
Daniel Mannes - Avondale Partners LLC: Hey. Good morning, everyone.
James F. O'Neil - Chief Executive Officer and President: Good morning, Dan.
Derrick A. Jensen - Chief Financial Officer: Good morning, Dan.
Daniel Mannes - Avondale Partners LLC: Hey. First, thanks for the color on the ASR. I think that clears things up pretty nicely. But I did want to focus on the electric business, obviously. You've been in more competitive environments. You've dealt with small project work before and have a lot of experience. I guess my question is, given the current environment, how much of the recent results relate to, maybe, the transitory effect of dealing with the transition versus what the correct run-rate margin should be if this were the environment you knew you were going to be participating in? So basically, can you just help us out with where you could get to if, if the current environment persists, what do you think you could manage margins to, relative to the fixed math you've been putting up recently?
James F. O'Neil - Chief Executive Officer and President: Well, I think, Dan, that's a very good question and there's a couple of factors there. One, I want to reiterate that there's no reason why we couldn't operate with the current level of business at a 10% operating margin. But you bring up a good point, I mean, we've got transition going – one of the major things that's occurring is we had a significant amount of transmission resources in the industry working on large projects. They've flooded the market. I think it took everybody in the industry by surprise, is the impact that it had on the smaller transmission market. So, right now, we do have an oversupply of labor. The market's become more competitive. We can deal with that. We need to keep a level of large transmission resources to capitalize on projects we see on the horizon. But if that didn't happen, hypothetically, we could certainly adjust our cost structure to get back into the 10% range. So we're in a very fluid market right now, and we're evaluating it almost every day. But I do think that we're at some point of stabilizing the business, and now we'll just adjust going forward as the market begins to develop, especially in the large transmission arena.
Daniel Mannes - Avondale Partners LLC: Got it. And then, transitioning over to the Oil and Gas business, your commentary has been fairly consistent with what we've heard in the market and your peers as it relates to large work coming in. Can you talk to us, and I know this is a challenging topic, about the capacity you guys can bring to bear for next year? Where you guys are in terms of utilization, if booked and expected projects lay out? And how much more you could even conceivably do next year on the mainline front?
James F. O'Neil - Chief Executive Officer and President: Well, I think utilization is based off on how the projects lay out, right? So we don't have a real clear picture of that right now, because it's early. I mean, you get a $400 million mainline project that could last four months, versus a $400 million electric transmission project which could last a year and a half. So, it depends upon how the projects lay out. I will tell you that we believe that we've got plenty of utilization to take care of the work that we have been backlogged, that we plan to go to 2016, off of – excuse me – plenty of resource capacity to handle the work we have in backlog in 2016 and the work that we're continuing to negotiate for 2016. So, it's very similar to electric transmission when it ramped up in 2011. I mean, we were on three jobs and we ended up doing about five times that much in a period of two years. So, we'll be able to – we're prepared and ready to take on as much work as we can at our margin profile.
Daniel Mannes - Avondale Partners LLC: Sounds good. Thank you very much.
Operator: And as a reminder, in the interest of time today, we do ask that you please limit yourself to one question and one follow-up. We'll take our next question from Andy Wittmann at Robert W. Baird & Company.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Hi. So, I guess in the script, you guys commented that you felt like the pipeline business – a couple of things need to break your way, that it would be up in 2016? I don't know if I caught a similar comment on T&D with some of the puts-and-takes that are going on there now. Jim, I guess, what's the net outlook as you're heading into 2016 on the T&D side?
James F. O'Neil - Chief Executive Officer and President: Andy, I think that's a good question. I mean, I would tell you that right now distribution in the smaller transmission market has a growth feel to it. There's thousands of projects there in any given quarter, and it's been pretty predictable over the last four years, and I don't expect that that dynamic's going to change. The large transmission market is what, obviously, is a wild card. We don't have a real good feel as to when those projects will get through the permitting process and move to construction. So, do we think some projects are going to move into construction to 2016? We do. But it's hard to pinpoint. So it's hard to tell what the segment's is going to do overall. I do think that both segments, as I said in my script, have the opportunity for growth next year, and I do think 2015 is a transition year for the Electric Power segment. But I can't really give any color as to big transmission right now; it's early. And certainly with what's happened over the last several quarters, I'm going to – time is my friend and I want to wait until February before I provide some real, specific color on the large transmission market dynamic.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Appreciate those perspectives. And then, Derrick, I guess a question a lot of investors are looking at right now is what kinds of things can you do from a process perspective, as you look at results coming in during the quarter, to avoid some of the surprises that we've seen in the last couple – are there systems, processes, communication and things that need to be happening inside the company to head off some of the surprises that we've seen in the last couple of quarters?
Derrick A. Jensen - Chief Financial Officer: Well, I mean when you think about the first half of the year, a substantial portion in the first half of the year was a weather dynamic. And we're not necessarily weather forecasters, and those things will – any major weather event will impact us throughout, despite our best efforts to forecast. In addition, a couple of those things that happened in the first half of the year were very, very one-off projects, specific-type items. If you recall, we talked about the cumulative effect of a couple of those jobs was about $50 million. Although very sizable, it was isolated to the one or two individual jobs rather than being something having to do with the overall forecasting process. As it relates to the third quarter, we started to see some degree of softness in much of the things that Jim has talked about. But what we, in our minds, we needed to look to see exactly how those things played out and make a determination as to what was there from the standpoint of contingencies on remaining projects and how those would execute through, et cetera, relative to being able to establish what we really felt like what was occurring here in the third quarter. So, I think that the third quarter is unique versus what the dynamics were in the first and the second quarter. But again, to your point, we will always be mindful of what information we gather in here and how that we can digest it in a way to ensure that our forecasts in the future continue to better align with our real expectations.
Operator: We'll take our next question from Tahira Afzal at KeyBanc.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Hi, folks, and Jim, nice to see at least some stability returning.
James F. O'Neil - Chief Executive Officer and President: Thank you, Tahira.
Tahira Afzal - KeyBanc Capital Markets, Inc.: So, I guess the first question is, Andrew asked about the revenues and where those could swing on the electric T&D side. So, let me get on the other side and ask, would you at least see backlog growth very constant about that for electric T&D in total?
James F. O'Neil - Chief Executive Officer and President: My views on backlog are unchanged from past years, past quarters and years. I mean, I think backlog will continue to be strong. I'm not going to say we're going to have record levels every quarter that we've seen this quarter. But it's going to be strong, and that's an indication of the multiyear outlook we have in the business. So, look, I'm very confident about 2016. I think 2016 is going to be a very good year. 2015 was an anomaly. It happened. We're not happy with it, but we've got some really good things going in 2016 and in both the Electric Power and on the Oil and Gas segments. So I think 2016 backlog should be strong. Going into 2016, I think these big transmission projects will break through and we'll get back to some level of normalcy in what we've seen over the last few years. We're just in a pause right now, but I'm very confident about 2016 and, frankly, the next several years over a multi-year basis. I think we've just had an adjustment in the market and we're ready to move forward again. And 2016 is going to be definitely a better year than 2015, in my opinion.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay, Jim. That's helpful. And then, second question is more thematic. Over the past several months, we've seen several utilities buying gas distribution companies. I know you do some integrity work on the gas side. We always focused on your large pipe and gathering shale activity on the pipeline side. But are you watching what's happening in terms of M&A there? And does that present an opportunity for yourselves?
James F. O'Neil - Chief Executive Officer and President: Well, we've predicted that there was going to be a convergence of both the electric power and natural gas companies. We expected that. I mean, one of the primary drivers there is the coal-to-gas switching and the need for significant natural gas infrastructure to feed these power plants, which is one of the big growth drivers on mainline pipe. And certainly it's an opportunity for our customers on the electric side who have to ensure reliable power delivery that those pipeline systems are within their control. So, yes, we're seeing some convergence of those industries in our customer base, and we have been positioning our company to take advantage of that by having the diversity to serve both the electric power and oil and gas segments. And I think it can't do anything but help us down the road, from a strategic standpoint, as our customers are looking to contractors like Quanta to provide a broader solution to them across their entire portfolio.
Tahira Afzal - KeyBanc Capital Markets, Inc.: All right. Thanks a lot, Jim.
Operator: And we'll take our next question from Matt Duncan at Stephens.
Matt Duncan - Stephens, Inc.: Good morning, guys.
James F. O'Neil - Chief Executive Officer and President: Hey, Matt.
Matt Duncan - Stephens, Inc.: Jim, I'm going to kind of, sort of try to get a view on 2016 from a little bit different angle. If you were to not see any large electrical transmission projects awarded to you that you would begin work on next year, would you be able to grow that business on the top line, just based on the small to medium-sized projects that you're seeing, or would that be difficult to do without large projects?
James F. O'Neil - Chief Executive Officer and President: I think that would be difficult to do without large projects, if we didn't see any mainline – new transmission projects, I think we would probably have – it'd be flattish to slight negative. But I think the bottom line still could grow, particularly since we had some job issues and some weather issues in 2015. So, we got a pretty good comp against 2015 to grow the bottom line. So I think there's two different dynamics working there. We certainly feel confident that the bottom line can grow on 2016 over 2015 in the Electric Power segment.
Matt Duncan - Stephens, Inc.: Okay. And then in Oil and Gas, a couple of things. Can you give us a little bit of color on what types of projects you're seeing out there in the bid environment? Are you seeing the implied margins in these bids get any better as this market's beginning tighten? I mean, we're seeing good backlog growth across the industry. And given what you are expecting in mainline pipeline work, is it fair to say that that business ought to grow around 10% or perhaps better next year, given the sort of pace of backlog growth we're seeing out of you guys?
James F. O'Neil - Chief Executive Officer and President: Yeah. I mean, I think if you look at backlog as a key indicator, you would expect that we would have a double-digit type growth on the top line if projects move through the permitting process as we expect. In order for it to have that material impact that we expect, mainline to have that material impact that we expect next year, I would expect that that you would have that type of growth profile. And we've talked about that in the past, we've talked about 2016, we would start seeing a material uptick in mainline pipe construction opportunities. As far as the margins, I think the margin profile is really driven a lot by the contract types and the strategic alliances that we have with many of our customers on mainline. We're building multi-year programs for them and the contractual relationship is different, and it's more of a shared risk and it's conducive to us having more stable margins in that sector. Certainly we have to execute, but I think it's more favorable for us in the industry. You'll see a better margin profile going forward.
Matt Duncan - Stephens, Inc.: Yes, I think the margins that you guys said that segment can do are 9% to 12%. I'm assuming with the mix shifting back to mainline, you ought to be in that range next year?
Derrick A. Jensen - Chief Financial Officer: Hey, Matt, this is Derrick. Yeah. I would tell you that thematically, you're – I wouldn't disagree with that. I think one of the main things that would probably get me pause is saying that's unique to next year – as we sit here today, as from a guidance perspective, and we'll be trying to address that clearly as we move forward into, as Jim said, a February timeframe when we give our ultimate guidance. But when we look at the last half of this year and push out at the mainline jobs, and you look at ultimately how our margins in the third quarter and kind of implied fourth quarter margins in that segment, you can see how those delays in projects can individually impact the margin profile. And so as we stand here today, as Jim had said on the timing of those awards and/or their actual permitting and moving to construction, to the extent that we see any of the latter half of next year get pushed at all, then you'd see some impact in that 9% to 12% dynamic. That's why at this stage, we're not quite at the spot of quantifying. But what I'd say is that, whether from a volume perspective, and if you look out over the multiple quarters exclusive of the finite 2016 period, then I'd say that we think that there's a volume of work there that should still allow us to overall operate at 9% to 12%. We're just not yet quantifying that to 2016 based upon that risk (49:57).
Operator: And we'll go next to Steven Fisher with UBS.
Steven Michael Fisher - UBS Securities LLC: Thanks. Good morning.
James F. O'Neil - Chief Executive Officer and President: Good morning, Steve.
Steven Michael Fisher - UBS Securities LLC: Good morning. I know you guys have been hesitant to let key resources go while big projects are still in the works. But what are you doing to improve your cost position and margins, particularly in electric? And I guess what timing would you have to see in terms of these big projects in order to make a decision to be more aggressive in cost actions?
James F. O'Neil - Chief Executive Officer and President: I don't want to give the impression that we haven't let anybody go. I mean, we've had some of our operating units adjusting costs in areas regionally that we have seen some softness. But it is imperative that we maintain some critical personnel and some specialized equipment to execute on these larger projects. It's a fluid situation, Steve. I can't give you a black and white answer that says that in January or March, if we don't see improvement, we're going to make some significant cuts. But I do want to reiterate that we understand where we need to be as a company and as a management team with our margin profile. And we will continue to be diligent on that, and evaluate the environment on a (51:20) basis and make the decisions when necessary. I think we said that the expectation is that we're going to have a better year in 2016 than we did in 2015, and we're going to have a better year in the Electric Power segment on the bottom line in 2016 than in 2015. So, there will have to be – either we're going to get mainline work or we're going to have to make some adjustments. So, it's – I mean, excuse me, large transmission work or make adjustments. But I can't put a time line on that.
Steven Michael Fisher - UBS Securities LLC: Okay. And on the – sticking with the electric business, with revenues down 15% in the quarter, FX sounds like there was only about a 3% impact. So, still a double-digit decline. And I know, Jim, you really can't predict the large transmission project timing, and that's very fair. But are there any other things that you can see with high degree of confidence that will moderate that double-digit pace over the next few quarters, be it acquisitions or anything like that? And then if it's still a double-digit pace of decline, is that a scenario where you can still feel like you can grow your bottom line in Electric Power?
James F. O'Neil - Chief Executive Officer and President: Well, I want to say that on the full year, we expect growth on an organic basis. As we go into the first half of next year, we have seasonality, for one thing. And I do expect that some of the fourth quarter dynamics will likely transition into the first part of next year. So we have large projects in backlog that we expect will accelerate or move into construction at some point in time during the year, I just don't want to predict right now when that's going to happen. But I do expect the Electric Power segment to perform better on the bottom line organically than what it has in 2015.
Steven Michael Fisher - UBS Securities LLC: Okay, thanks.
Operator: We'll go next to William Bremer at Maxim Group.
William Bremer - Maxim Group LLC: Good morning, gentlemen, and appreciate the color.
James F. O'Neil - Chief Executive Officer and President: Good morning, Bill.
Derrick A. Jensen - Chief Financial Officer: Hi, Bill.
William Bremer - Maxim Group LLC: You mentioned – you called out integrity, and I'd like to go there first. Can you give us a sense, the master service agreements that are attached to that? What size – how many years do these contracts go out, and can you give us a sense of the top diameters that you're working with there, on these pipelines? That's the first question. Second, love to get an update on two markets that you didn't voice today, which would be Australia as well as Canada, and just give us a sense of what's happening there now, and the strategy going forward if they don't improve?
James F. O'Neil - Chief Executive Officer and President: Yeah. Thank you, Bill. As far as the integrity work, the asset scenario, our business continues to grow. We continue to expand there. We do have master service agreements in place for several customers. They range from three to five years on average, the PG&E contract being kind of the flagship for that type of contract. The size of pipes range. They vary. You've got cast iron replacement programs, we've got some smaller diameter pipe, anywhere from 2-inch residential pipe programs to 42-inch mainline programs in rural – or municipal areas. So, the pipe sizes range the full gamut. As far as comments on Australia, I mean, Australia has been hit hard by the oil price and China's growth slowing, so the exports are less than what we anticipated when we first entered that market. But with that said, it's still an area that we are excited to be in on the ground floor, and we will continue to build that business over a multiyear basis. I think it's going to be important to Quanta five years from now, the contributions from Australia and other international areas like Canada and Latin America will be important five years from now. But we are going to see the Canadian – in Alberta – Alberta, Australia and the Gulf of Mexico have been impacted by the price of oil. I don't expect much more downturn in those areas. I think they've settled out. In fact, we are seeing some areas return to some level of growth as some of the competitors, the smaller competitors in those markets, have exited. But it's a real tough situation that we're monitoring. But any softness in those markets will certainly be made up by the mainline revenue that we expect to move to construction over the next several years.
Operator: And we'll go next to John Rogers at D.A. Davidson.
John Bergstrom Rogers - D.A. Davidson & Co.: Hi. Good morning.
James F. O'Neil - Chief Executive Officer and President: Good morning, John.
Derrick A. Jensen - Chief Financial Officer: Good morning, John.
John Bergstrom Rogers - D.A. Davidson & Co.: Just a little more color, if I could, in terms of the T&D vertical, the electrical business. Jim, what's the margin that's in your backlog now, or directionally, versus what you've just seen? I mean, you're – and the confidence. I'm just trying to get to the confidence that it gets better next year, with or without those big transmission projects?
Derrick A. Jensen - Chief Financial Officer: Yeah, John. Actually, it's Derrick. From a margin perspective in backlog on Electric Power, what I say is, we are going to have an online – a bit of pressure on those margins. It's not so much, though, from the standpoint of what we're doing from a bidding perspective. It's much of what we're seeing more from the standpoint of our expectations of the performance against that work, primarily from the dynamic of what Jim spoke about. We've got T&D resources from the large transmission work that have been moved over, and some of those resources are working on some of that smaller transmission work. And so, to that extent, as we think about how we expect that backlog to perform, arguably structurally, we have to believe that it's going to perform at a lower rate. That doesn't necessarily translate into our aspect of bidding it lower, but it's just that what we are saying now is that, based upon this performance, we're going to say that we think it'll currently execute at a slightly lower rate.
John Bergstrom Rogers - D.A. Davidson & Co.: Okay. That's very helpful. And then, just on the pipeline side, or the Oil and Gas side of the business, can you give us – because it sounds like – I mean, we're going to take another step down in margins here, before they recover. And how much excess overhead are you carrying there now? Or maybe another way to ask it is, what's your capacity to do work in that segment?
James F. O'Neil - Chief Executive Officer and President: Well, certainly, our fixed costs in the Oil and Gas segment have continued to increase, because we've got to prepare for this mainline pipe...
John Bergstrom Rogers - D.A. Davidson & Co.: Right.
James F. O'Neil - Chief Executive Officer and President: ... expansion. So, there is some impact there, and that is a drag on margins, especially when we expected some of these programs to start in the fourth quarter of this year, and they've been pushed. So, now we've got so much work coming in 2016 that we're probably going to see some pushes, but we're still going to have probably a pretty nice uptick in revenues in that segment, with mainline contributions, even with pushes, because there's just so much work that's supposed to move the construction in 2016. You also have the Canadian dynamic with seasonality, and seasonality going on right now. So, you got to be prepared, because if the ground freezes, you're going to go work, and there's going to be a significant amount of it in Canada during this time of the year. If it doesn't, you're not going to mobilize. So, you've just got that dynamic going on. But we certainly have a higher fixed cost in that business today than we did last year, because you can't just turn the switch on and start working on the amount of mainline projects that we expect. You've got to prepare for that, and that takes time, and it costs money to do so.
Operator: And we'll go next to Alex Rygiel with FBR Capital Market.
Min Chung Cho - FBR Capital Markets & Co.: Great. Good morning. This is Min Cho for Alex. Thanks for taking my question.
James F. O'Neil - Chief Executive Officer and President: Good morning, Min.
Min Chung Cho - FBR Capital Markets & Co.: Good morning. Given the uncertainty about some of the timing of the backlog and moving into construction phase, do you feel – I mean, how conservative is your 12-month backlog number? Is there still a certain amount of risk to that number?
James F. O'Neil - Chief Executive Officer and President: Well, our backlog, we've been consistent the way we book backlog, and it's typically once we get it, executed, contract or some form of executed contract from the customer, it goes into backlog. So, I would say that the way we book backlog is very conservative, and I have not seen any fixed price contract that's gone into backlog, ever to my knowledge, get pulled out of backlog. I mean, once it's in backlog, it moves to construction. We've made MSA adjustments from time to time; back in 2008 and 2009, when we went into the banking crisis, we had to adjust MSAs and backlog. But as far as lump-sum fixed-price contracts, I would say that I'm very – with a high degree of confidence that if it hits backlog, it's going to construction.
Min Chung Cho - FBR Capital Markets & Co.: Right. I guess I'm concerned more with the 12-month backlog number, and the potential for push-outs of projects beyond that 12 months?
James F. O'Neil - Chief Executive Officer and President: Well, okay. I understand. I think that, again, you're probably going to have pushes in 12-month backlog, because we've seen pushes over the last three to four years. And nothing's changed in that dynamic. But what's different is that there's going to be a significant amount of mainline work. I mean, we booked, as we talked today on the call, several billion dollars' worth of mainline projects, many of which will be moving to construction or planned to move to construction in 2016. Will you have some pushes in that backlog? Absolutely. I would say it's almost certain you're going to have some pushes. But with what's left that does go in 2016, it's still going to be material and more than what we've seen here in 2015. So – but we will have some pushes out of backlog.
Min Chung Cho - FBR Capital Markets & Co.: Okay.
James F. O'Neil - Chief Executive Officer and President: There's no question in my mind that that'll happen. But it's not going to impact our excitement about what moves the revenue in 2016.
Min Chung Cho - FBR Capital Markets & Co.: Okay. That's fair. Also, I know you've been asked this question in the past and you've been fairly conservative about the opportunity in Mexico kind of for natural gas pipe. Any change in the strategy there?
James F. O'Neil - Chief Executive Officer and President: No. I mean, Mexico continues to be an area that we recognize there'll be significant amount of opportunities there. And it just depends upon our customer base, especially some of our key customers, whether they move down there and they want us to move with them in more of a collaborative partnership-type role. We continue to evaluate it, but it is a higher-risk area than Canada and the United States, for sure, and there's a lot of work for us to do here in Canada and the U.S. So we'll go to Mexico if we can mitigate the risk, or we'll evaluate going to Mexico if we can mitigate the risk. But right now, our opportunities are in Canada and in the U.S.
Operator: We'll go next to Jamie Cook at Credit Suisse.
Ben E. Xiao - Credit Suisse Securities (USA) LLC (Broker): Hi, good morning. This is actually Ben on for Jamie. So two questions for Derrick. First, I guess going back to the margins. I appreciate you can't quantify your expectations for 2016, but can you at least help us with your expectations by segment for Q4, just so we can get a better sense for run rate into 2016? And then second, just on the free cash flow. I mean, conversion's been pretty good year-to-date. I know it will come down in Q4, but how should we think about 2016, just because this mainline ramps up, I imagine more cash will be tied up in working capital?
Derrick A. Jensen - Chief Financial Officer: Yeah. Actually, I'm starting with your last question. I think that's a fair assumption for 2016, exactly right. The mainline projects have a tendency to be fairly rapid ramp-ups and be sizable projects that happen over a short period of time. And so, depending on the timing of that, you can see a pretty substantial draw of that capital. And then from a timing perspective, then of course it depends on how much of that work is coming in the fourth quarter as to whether, if any of that gets pushed, whether that would turn into cash in 2016, or just continue to roll and maybe such that it goes into 2017. So I do believe it's a fair expectation that 2016 cash flow will be lower than 2015 cash flow. From a margin perspective on the fourth quarter, I can comment that I'd say Electric Power is probably going to be in or around the 7% or 8% range, we'll say, and in Oil and Gas because of timing it's probably going to be like in, say, the 4% to 5% range. One thing though, you made the comment about estimating a run rate for 2016. I don't know that I would be looking at those fourth quarter margins to be indicative of run rates, per se. One of the main things to recall, remember, is the seasonality aspect of the business. I mean, it's typical for our fourth quarter margins to drift based upon the lower revenues or weather dynamics and seasonality, let alone the fact of the impact of some of the mainline awards, et cetera. So that's kind of how the fourth quarter would lay out, but I'd be hesitant to say exactly how that's going to impact 2016 at this stage.
Ben E. Xiao - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks a lot. Very helpful.
Derrick A. Jensen - Chief Financial Officer: Sure.
Operator: And we'll go next to Vishal Shah at Deutsche Bank.
Vish B. Shah - Deutsche Bank Securities, Inc.: Yeah, hi. Thanks for taking my question. Jim, I apologize if this has been already asked, but could you maybe just talk about how you think the backlog is in terms of what percentage of your backlog has cleared permitting and how much still needs regulatory approval for 2016?
James F. O'Neil - Chief Executive Officer and President: It's in various stages, Vishal. I would say that once a project moves to backlog, in general, most of the permitting and siting has been done, and there's a path to construction. In other words, they see that they should be able to get through the remaining hurdles. Typically if projects are challenged to get permits, that they don't move to construction, typically, to the construction phase or to backlog. But I would say that, in general, there's a path to getting these projects fully permitted into construction, if they're in backlog.
Vish B. Shah - Deutsche Bank Securities, Inc.: And what kind of visibility did you have in the large transmission side in terms of the permitting process? I mean, what are your customers telling you in terms of timelines, and how do you plan for that when you think about the workflows that you have on standby for some of those projects? Thank you.
James F. O'Neil - Chief Executive Officer and President: Well, I mean, I think that's an art more than a science. And we're in constant discussion with our customers, so we have a pretty good feel for when projects will move to construction. I mean, obviously, we've had some surprises, some of our customers – I mean, really, the overall profile on backlog, as far as projects moving from backlog to construction, hasn't changed. It's just that projects are bigger and cover longer distances in more populous areas, so it's just a little bit more of a sensitive process for our customers to get through. But we're certainly in constant communication with our customers and we try to plan our resources accordingly, to the best that we can.
Operator: We'll go next to Adam Thalhimer with BB&T Capital Markets.
Adam Robert Thalhimer - BB&T Capital Markets: Hey. Good morning, guys.
James F. O'Neil - Chief Executive Officer and President: Good morning, Adam.
Adam Robert Thalhimer - BB&T Capital Markets: Jim, these potential delays on the pipeline side, what do you think about that? Is that all permitting, or are you – because these MLPs, the stocks are down, they're talking about less access to capital. Does that matter, too, or is it just all permits?
James F. O'Neil - Chief Executive Officer and President: It's mostly all permits. I mean, the country needs big pipe. And despite what's going on with the MLPs and the issues that you mentioned, I mean, you've got to get product moved, you've got to get this natural gas to these markets, and that's the shale. The shales are shut down in many areas because they don't have takeaway capacity, especially in the Marcellus and Utica. And the coal-to-gas switching is creating an environment where our customers need redundant gas pipeline systems in order to feed these power plants – these new gas-powered plants. So the need for the big pipe is there, regardless of the economic situation or the MLP environment, and that's what the big driver is on the pipeline boom that we expect, or increase in mainline pipe that we expect over the next several years.
Adam Robert Thalhimer - BB&T Capital Markets: Okay. That's helpful. And then on the transmission side, relative to two or three or four years ago, have you seen increased competition?
James F. O'Neil - Chief Executive Officer and President: No. I mean, it's the same people in the industry. I mean, you might see a company move into the business, but they're tapping into the same resource base. I mean, again you've got a limited amount of superintendents and foremen in this industry. It's a very specialized industry, that field leadership is extremely important, in my opinion, in order to be successful as a contractor. This business has only ramped up really in a big way five years ago, and it's really put a strain on the industry, especially at the field leadership position where it could take a decade or more to train a qualified journeyman lineman that moves to a general foreman or a superintendent position. So I really haven't seen the competitive environment change with the blue-collar workforce that executes on the work. And I think that's the most important aspect of what we do, is having those self-perform capabilities, and I have not seen a significant shift, if at all, in that area of our business.
Operator: We'll take our final question from Jeffrey Volshteyn at JPMorgan.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: Good morning, and thank you for taking my question. I'm going to be quick. So just, Jim, following on your commentary on large electric projects, I surely understand the complexity around permitting, particularly in large metropolitan areas. But perhaps you can give us a little bit of color of where the delays are coming from. Is that local agencies? Is it federal agencies? And maybe in certain geographies or certain functions that are being consistently slower in permitting?
James F. O'Neil - Chief Executive Officer and President: Well, I don't want to sound flippant with that question, but it's all of the above. I mean, it's become more complicated, and when you get into – I mean, it's every single municipality, it's every county, it's every state, and it's a very difficult process for our customers to get through, especially in the more populous areas of the United States and Canada. You just have more jurisdictions and you've got more permitting, and it just takes time. And it's no different than really 10 years ago. I mean, some of the first transmission projects that we started building in 2011 were in the permitting process for 10 to 15 years in California to get approved. So, it just takes time, and it's not a matter of if this infrastructure gets built, it's when. And the environmental groups have become more organized, and so forth. You see that in the media. It's just a more difficult environment, but what's frustrating us is to predict when these projects move or forecast when these projects move to construction.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: Do you feel that these projects are appropriately funded, and there's not a funding issue as well?
James F. O'Neil - Chief Executive Officer and President: It's not a funding issue for the customers that we're working for, no. Many of our customers have – when you look at the pipeline, companies that have firm shipping agreements in place – shipper agreements in place to build the infrastructure, and our customers who need to build pipeline infrastructure to feed power plants and so forth, it's not a independent pipeline company that owns that project that has a shipper agreement in place, it's a utility that gets recouped through the rate base. So, financing's not an issue with the projects that we see in our backlog.
Operator: And at this time, that does conclude today's question-and-answer session. I'd now like to turn the call back over to management for any additional or closing remarks.
James F. O'Neil - Chief Executive Officer and President: Okay. Well, this is Jim O'Neil, and I would like to thank all of you for participating in our third quarter 2015 conference call. We do appreciate your questions and your ongoing interest in Quanta Services. Thank you, and this concludes our call for today.
Operator: This does conclude today's conference. Thank you for your participation.